Operator: Ladies and gentlemen, welcome to Nexteer Automotive Group Limited 2024 Annual Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Investor Relations Director, Mr. Tony Wang. Please go ahead.
Tony Wang: Thank you, Betty. Again, welcome everyone to our earnings call for the full year 2024. We made the announcement of our annual results this evening, Hong Kong time. Before we begin today's call, I would like to remind you that this presentation contains a safe harbor statement. For additional information, please refer to the content in the second page. The presentation and today's call are available on our company's website. Please visit nexteer.com to download slides if you have not done yet. Joining us today are Robin Milavec, Executive Board Director, President, CTO, and Chief Strategy Officer; Mike Bierlein, Senior Vice President and CFO; Herve Boyer, Senior Vice President and COO. Starting the presentation, Robin and Mike will provide the business and financial highlights, respectively. And then we will open the lines for your questions. Please follow the limit of two questions per person. With that, let me turn the call over to our President, Robin.
Robin Milavec : Thank you, Tony, and good day to everyone on the call today. So, as we move forward into the new year, our focus will be on driving innovation and growth and working to fulfill our vision of being the leading motion control technology company, accelerating mobility to be safe, green, and exciting. To clearly define that path, our leadership team recently completed a comprehensive corporate strategy planning process that included all of our functions, our divisions, and product lines. We highlighted our clear strengths and global presence, our competencies, customer relationships and satisfaction, and product performance. We also identified opportunities to improve operational efficiencies with automation, leveraging AI technology, expanding our vertical integration, and localization to capitalize on market expansion and growth, and to increase innovation to drive profitable growth. As we think about our leadership as a motion control technology company, we are focused on the three elements shown on this chart, differentiating ourselves and being the leader in technology, in growth and market share, and profitability. To start with, as Tony mentioned, I'll provide a brief business overview of 2024. Then I'll hand it over to Mike and he'll go through the financial assessment as well as some observations and considerations for 2025. So, we continue to adhere to our six-point strategy for profitable growth. Most everyone familiar with next year has seen these elements before. And as I have done some reflection on these strategies, I was struck by the significant progress that we've made in most every area. First, when it comes to expand and diversify our revenue base, we have added four new customers within the past two years. We have also expanded our product portfolio by implementing dual Pinion EPS in Europe and now in China. Second, strengthening our technology leadership. We've introduced our industry-leading Rack EPS technology in the China market. We have developed steer-by-wire technology and booked business wins with that technology. We have also developed rear-wheel steering and also booked business wins with that technology. And we continue to develop our software offerings to meet the needs of future software-defined vehicles. Third, when it comes to capitalizing on megatrends and aligning our portfolio relative to electrification, we have rolled out a series of High-Output EPS across all of our steering product lines. These high-output systems meet the needs of the heavier vehicles and higher steering loads associated with battery-electric vehicles. When it comes to autonomous and connected vehicles, our high availability EPS controllers and an indication with our new business win with the level four autonomous vehicle platform indicates our leading technology in terms of our electronics and high availability. Relative to software-defined vehicles, our software products support the development, the integration and the functions such as steer by brake, vehicle health and other safety-related functions. Fourth, optimizing our cost structure. We have announced two rounds of early retirement programs for eligible U.S. salary employees, both in 2023 as well as 2024. We've improved the energy efficiency of our Saginaw U.S. site by the installation of a renewable energy solar field without upfront capital investments. And finally, we have continued our transition of column manufacturing from our U.S. facilities to our Mexico facility. That rotation will be complete this year in 2025. Fifth, in terms of pursuing select acquisitions and alliances, our team continues to look for aligned opportunities to support growth for our business needs and competencies. Although I have nothing specific to share on this front today, it does remain a focus of our leadership team to find those most appropriate opportunities that can increase and add value to next year. Sixth, in terms of targeting China and the emerging markets, we have had very good success in this area with our steering products in China. We are now the number one steering supplier in the China market with China OEMs. Our plan to support China OEMs as they grow and expand outside of China is also on track, and we see significant growth potential in India with both our steering and driveline product lines. Next slide, please. So next, I'd like to highlight our full-year achievements that span across the five significant milestones shown here that demonstrate next year's focus on delivering long-term profitable growth. First, in terms of revenue, this was a record. We achieved record revenue for the second consecutive year, achieving $4.3 billion. That's increasing by 1.6% compared to 2023. This is the result of continued above-market revenue growth, driven by new and conquest bookings over the past few years. Second, program launches. This also is a record. We successfully launched 77 customer programs across all regions, achieving this new company record for program launches in a single year. 45 were tied to electric vehicle programs and 52 were linked to our business in Asia-Pacific. Third, new business bookings. We achieved customer program bookings totaling $6 billion in lifetime revenue that include two new steer-by-wire production awards. The first being a steer-by-wire award for a Level 4 highly automated mobility as a service application with a global EV leader and the first steer-by-wire booking with a leading China OEM. Fourth is our revenue in APAC. Our APAC division achieved a record level of revenue at $1.3 billion, growing more than 10% compared to 2023 with strong profitability and free cash flow. Our AP segment strengthened its leadership position in China's EPS market among China domestic OEMs. We built upon our strong performance on traditional steering programs as well as expanding into the premier Rack EPS technology. At the same time, India also recorded historical business growth with steady growth in both our driveline and steering product lines. Lastly, enhancing shareholder return. We're glad to announce that the Board has approved a $22 million dividend subject to the approval of the shareholders in the upcoming Annual Shareholder Meeting. This is an increase of almost 3 times compared to 2023 and represents a total of 35% payout ratio of the 2024 net profit attributable equity holders. This is an increase from our historical payout of 20%. Next slide. So, as I mentioned in the last slide, we had a very successful year of product launches in 2024 with a record of 77 new programs launched across multiple product lines, regions, and customers with 68 programs representing new or conquest business and 45 representing 100% EV platforms supported by next year's products. Starting from 2024, we will selectively focus on significant programs that reflect how these new bookings successfully convert to revenue growth as opposed to providing a detailed launch list line by line as we have done in the past. So, with that approach in mind, here are several notable launches that we had in 2024. We had multiple first Rack EPS launches with several leading China OEMs. As we have built upon our historically strong performance on column EPS programs, we've successfully expanded our business into the premier Rack EPS with the China OEMs. We are confident that we will become the reps leader in China capitalizing on our strong customer portfolio. The first Rack EPS program launch we had with a Japanese OEM. This significant business breakthrough with Nissan's large vehicle segment reflects next year's leading position with our rack-based EPS technology. Next is the first dual-pinion EPS that has been successfully launched in EMEA SA. Our new dual Pinion EPS product line makes its production debut with Stellantis in their new light commercial van platform. It also paves the way for additional dual Pinion business opportunities, especially among China OEMs. Next is our first major adjacent market launch for all-terrain vehicles. We now supply single-pinion EPS on Polaris Ranger and Razor models to enhance the safety, convenience, and performance. Beyond this initial launch, we're excited about significant potential to expand our business further with them and with other OEMs in this market segment where our technology is bringing steering performance and refinement not previously available in this class of vehicles. Out of 77 program launches, 52 program launches were in APAC, supporting both Chinese and global customers. This is another proof point of next year's strategic targeting capitalizing on the growth opportunities within this region. Moving into 2025 and beyond, we are excited to see additional substantial rollouts of Rack EPS products and dual Pinion EPS products with leading China OEMs. So, in addition to the near-term revenue growth fueled by new program launches, our new business awards in 2024 remain strong at the $6 billion level. We're excited to highlight and unlock four first accomplishments in terms of new bookings secured in 2024. We've won our first steer-by-wire business with a global EV leader headquartered in North America. This mass production program is for a Level 4 highly automated mobility as a service vehicle that has no steering wheel, no pedals, or any other manual controls. For mobility as a service fleet, next year's solutions feature added safety layers via redundancies and higher durability designs to support these highly automated applications where the vehicle operates many more hours than the traditional vehicles that are privately owned. We have so far achieved our full portfolio of products with this customer, so electric power steering, columns, and driveline are all represented within this customer. These business breakthroughs will potentially lead to new opportunities with this critical new customer of next year. Next is our first steer-by-wire production program with a leading Chinese NEV OEM. This award includes both the road wheel actuator, the hand wheel actuator, along with software integration and provides a full system solution for this OEM. This booking is based on a very accelerated development and application timeline. We believe the mass production of this program will start in 2026. The increasing OEM interest in steer-by-wire combined with our technology leadership is a good indicator that additional steer-by-wire booking opportunities will present themselves for us in 2025. You see at the third bullet our first dual-pinion EPS business win with two leading Chinese OEMs. This significant booking follows next year's first dual-pinion launch in EMEASA. With the addition of dual-pinion, it positions next year well for future dual-pinion business opportunities among global and Chinese OEMs. The fourth bullet point, we are excited to secure the first rear wheel steering system, which is also a form of steer-by-wire, and this was a booking with another Chinese OEM. We recently published two days ago a press release about rear-wheel steering launch, and we expect to start production with this new product in 2026. I'll have a few more details about this topic in a few slides from now. Lastly, we successfully secured several incumbent businesses in the North America market, including a significant driveline business extension for a key North America truck program, as well as our fourth-generation Rack EPS for a full-size truck platform in the U.S. The right-hand side of this chart shows the full-year bookings composition. Our electric power steering products accounted for 66%, followed by driveline at 27%. By geographical region, North America continued to play an important role driven by foundational customers, plus new business from a leading battery electric vehicle player. Meanwhile, APAC had multiple business expansions with local customers. 31% of our total bookings are conquest wins, including two notable steer-by-wire wins with a global EV leader, as well as an APAC breakthrough with the local OEM. And finally, Chinese domestic OEMs contributed 28% of our global bookings, and 36% of our global bookings were within our APAC division. A favorable booking mix with Chinese OEMs is a good indicator that we are well-positioned and fully aligned with the market shift towards EVs and Chinese OEMs in particular. On this next slide, building on an overall customer diversification and APAC growth, I'd like to highlight a strategic footprint expansion to further capitalize on the growth opportunities in APAC. Just in January of this year, Nexteer celebrated the grand opening of our new facility in Jiangsu province in China as a strategic expansion of its advanced steering systems manufacturing and testing capabilities. We demonstrated extreme speed to market with 12 months from the initial groundbreaking until manufacturing started. This expansion positions next year to further capitalize on growth momentum in APAC and meet the increasing demand for advanced electric power steering technologies from both global and domestic OEMs. Next year's Changshu campus spans approximately 137 acres and features state-of-the-art automated production lines, advanced laboratories, and a vehicle test track. Additionally, to meet the growing demand from both global and domestic customers in APAC, the Changshu plant will offer a comprehensive product portfolio that includes gear-based EPS such as dual Pinion and Rack EPS, as well as steer-by-wire systems, both road wheel and hand wheel actuators. In addition to production expansion, the Changshu site will supplement next year's APAC technical center and its testing and validation capacity. It will feature a state-of-the-art testing and validation lab, as well as an on-site test track featuring various road surfaces and environmental simulations. Next year's Changshu facility grand opening is one element of an overall strategy that balances a global footprint of manufacturing, technical centers, and customer service centers to support our more than 60 vehicle manufacturers globally. It will strengthen China's role as a regional innovation hub for next year. With this footprint, we dedicated ourselves to build a digitalized smart factory, a highly efficient lean factory, and a more sustainable green factory. On the next slide, a core pillar of our growth strategy has been to expand and diversify our customer base across global and China OEMs. Today, I'm pleased to share significant progress in this important area. We've consistently prioritized partnerships with OEMs that demonstrate strong technological leadership, scalable platforms, and alignment with the megatrends of electrification, autonomy, and connectivity. This selective approach ensures that we are positioned to win in the rapidly evolving automotive landscape. We are now serving over 60 OEMs worldwide and targeted expansion by adding four new strategic customers over the past two years, considering their growth trajectory and innovative focus. First, a North America EV OEM. As I mentioned, we've established our full portfolio of products with this customer, including steering columns and driveline. Additionally, we're collaborating with this pioneer in autonomous driving to support their mobility of the future. Second, a China tech company, and we are seeing these cross-industry disruptors emerging. Compared to traditional OEMs, they have a strong mindset transition from consumer tech to smart mobility. And this is a testament to next year's ability to serve a non-traditional OEM. Third is this off-road leader. It's our first time to expand our business with them, where our technology is bringing steering performance and refinement not previously available in all-terrain vehicles. And fourth, a China EV OEM. We are moving fast to secure business with this leading China NEV player. We have deepened ties with top-tier domestic NEV OEMs to ensure a diversified growth path in China. Our balanced and diverse customer base not only accelerates our business scale, but also supports diversification within our comprehensive product portfolio. It positions us to capture growth from both volume leaders and disruptive startups that are reshaping the industry. Next year has been a development leader in steer-by-wire technology, and I'd like to share with you a little bit more about our perspective on where this trend is heading in the market. We have seen some delays in production launch dates, particularly in Europe and North America. But at the same time, we've seen an acceleration in an increased interest in the China market and with some specific EV players globally. We see steer-by-wire technology not just as a differentiator in the market, but a true disruptor for the market. Leadership in this global market requires three ingredients, standardization, speed, and supercharged user experiences. Steer-by-wire has the potential to be revolutionary in three areas. First is driving to a common steering system across all vehicles and vehicle platforms. Steer-by-wire is the only single steering system solution that can be applied across all vehicle segments, all propulsion types, left-hand and right-hand drive vehicles, and all ADAS levels. Second is creating a platform that simplifies and standardizes the steering system that creates significant economies of scale, dramatically reduces development costs, and enables fast-to-market strategies not constrained by unique steering systems packaging development and validation requirements. This strategy reduces the complexity of the mechanical system by eliminating the intermediate shaft that today connects the steering wheel to the steering gear, and it utilizes software algorithms to achieve virtually unlimited steering ratio combinations without the need for specialized hardware. And third is user experiences. Steer-by-wire enables flexible cockpit design of the future and allows the OEMs to maximize the cockpit space and create new and exciting user experiences. The steering system is now software-enabled, allowing flexibility and customization of driving modes and effort, while enabling advanced safety and performance features such as automated emergency steering and improved vehicle dynamics and control. We believe steer-by-wire when broadly adopted and integrated into the vehicles of the future, will enable OEMs to dramatically improve cost, speed-to-market, innovation, and improved driver experiences. Two days ago, as I mentioned, we announced a rear-wheel steering system engineered for cost-effectiveness, lightweight, durability, and seamless integration. Next year's rear-wheel steering is also optimized for enhanced maneuverability, stability, safety, and performance. Our new system allows the rear wheels to turn up to 12 degrees in coordination with the front wheels, optimizing handling and stability at both low and high-speed conditions. We strategically designed rear-wheel steer to solve the industry challenges while leveraging existing technology leadership and building blocks. Key highlights include cost-effective and lightweight strategies, reuse and integration. Our approach offers a design and manufacturing process synergies with our industry-leading rack-assist electric power steering systems. Rear-wheel steering may also offer additional synergies as it can serve as an additional redundancy layer to meet safety requirements for vehicles, especially with steer-by-wire. During the rear-wheel steer development, we pulled not only from our industry-leading REPS design, but also leveraged our steer-by-wire technology, our software and vehicle integration expertise, as well as our legacy rear-wheel steering technology from the early 2000s that were used for GM truck applications in North America, known then as Quadrasteer. We're very excited that our first business win with a new rear-wheel steering platform is with a leading China OEM. With this customer, we have also won a second rear-steering production program, and we expect to launch this product in 2026. We will also debut rear-wheel steering at the Shanghai Auto Show in just this upcoming month in April, along with other advanced technologies. And I would certainly welcome all of you to stop by our next year booth in April at the Shanghai Auto Show. With that, I'll hand it over to Mike for a deep dive into our financial results. Mike?
Mike Bierlein: Thanks, Robin, and good day to everyone. It's a pleasure to have the opportunity to review our 2024 financial results, as well as to discuss key operating considerations for 2025. Next year achieved another record year with revenue of $4.3 billion in 2024. Adjusting for foreign exchange and commodity price changes, revenue increased by 2.5%. We grew above the market by 360 basis points, driven by new and conquest program launches over the past several years. APAC is leading the way with adjusted revenue, year-over-year growth of 12%, driven by growth with the China OEMs. EBITDA grew year-over-year by 22.5% and margins expanded by 170 basis points compared to 2023. Free cash flow was an inflow of $166 million as we continue to build on our strong balance sheet, ending the year with a net cash position of $331 million. We achieved customer program bookings totaling $6 billion during 2024, including two steer-by-wire program awards. These strong bookings will enable our continued revenue growth above market. We are pleased to announce that our Board of Directors approved a dividend increase, subject to shareholder approval of $22 million, representing a 35% payout ratio, which is increased compared to our historic dividend payout ratio of 20%. The dividend increase reflects our confidence in next year's financial strength and our commitment to increasing shareholder returns. This slide highlights our key financial metrics, revenue, EBITDA, net profit, and free cash flow. All of our key financial metrics have improved during 2024 and we continue to see momentum into 2025. Next year posted revenue of $4.3 billion. This is a record for revenue with an increase of $69 million or 1.6% compared with last year, driven by strong customer production schedules in APAC with the China OEMs. EBITDA of $424 million in 2024 was higher by $77 million or 22.5% compared with last year. This was driven by increased volume and improvements in operating performance. Net profit of $62 million in 2024 improved by $25 million or 68% compared to 2023, with margin improving by 50 basis points. Free cash flow for 2024 rose to $166 million, which is a $61 million increase compared with 2023. Improvements in earnings was the primary driver for the increase in cash flow. This slide shows our second half 2024 key financial metrics compared on both a year-over-year and a sequential basis. Revenue of $2.177 billion in the second half of 2024 increased by $78 million or 3.7% compared with the first half of 2024, and increased by $72 million or 3.4% compared with the second half of 2023. EBITDA of $227 million or 10.4% of revenue was higher year-over-year by 41.6%. In sequential view, EBITDA increased by $30 million or 15.1% higher than the first half of 2024. The leadership team is focused on continuing to improve our margins, and we can see the impact in our results over the past reporting periods. Net profit of $46 million for the second half of 2024 significantly improved from about break-even results in the second half of 2023, and increased by $30 million or 1.9 times higher than the first half of 2024, with margin improving by 140 basis points. Free cash flow of $169 million for the second half of 2024 improved both sequentially and compared with the second half of 2023, driven by increased earnings, capital discipline, and working capital management. Slide 17 shows a walk of 2023 revenue to 2024 revenue. Unfavorable foreign exchange reduced revenue by $27 million as the China RMB depreciated against the U.S. dollar. As noted here, the largest driver of the year-over-year increase in revenue was represented by volume, pricing and others, which provided an uplift of $103 million, driven by strong customer schedules and new and conquest program launches mainly in APAC with the China OEMs. Finally, commodity prices reduced slightly causing a year-over-year revenue decrease of $7 million. This slide shows our year-over-year revenue growth over market adjusted for foreign exchange and commodity price changes. Our total adjusted revenue growth in 2024 was 2.5%. We outperformed the market by 3.6%. North America adjusted revenue decreased by 2.8% with below-market growth of 1.4%, largely due to a European OEM underperformance in the market and certain customer programs ending in 2023. APAC adjusted revenue increased by 11.7%, above market by 11.3%, driven by the significant new and conquest program launches over the past few years and our leading position with the China OEMs. EMEASA adjusted revenue increased slightly and outperformed the market by 5% due to conquest program's volume ramp-up. This slide shows our regional revenue performance. On the left of the slide, the regional distribution of our revenue for 2024 and 2023 is presented. For both years, North America is the largest and comprised 51% of our total revenue in 2024, followed by APAC and EMEASA of 31% and 17%, respectively. Compared to 2023, we have a more balanced regional revenue mix as APAC represents a larger share of the total, reflecting continuous growth over market in the past few years. As noted on the right of the slide, our segments presented a mixed revenue performance on a year-over-year basis, given the divergent production performance between global and Chinese OEMs in 2024. For 2024, North America posted revenue of $2.193 billion, $66 million or 2.9% lower than last year. APAC posted record revenue of $1.338 billion, $123 million or 10.1% higher than last year. And EMEASA posted revenue of $717 million, slightly lower than last year. This slide shows our EBITDA walk year over year. 2024 EBITDA was $424 million or 9.9% of revenue, which was an increase of $77 million and expanding margins by 170 basis points compared to 2023. Volume and mix added $11 million of EBITDA. Unfavorable foreign exchange caused a $5 million negative impact, driven by the Polish Zloty strengthening against the Euro. Results improved by $49 million due to the supplier issue that we experienced in 2023. During 2024, we were impacted by one-time quality issues causing warranty recall costs of $19 million, mostly in our EMEASA division. We implemented a series of fixed cost initiatives, including a voluntary early retirement program in the U.S. and costs associated with our columns transition from the U.S. to Mexico. We incurred $9 million of restructuring costs in 2024 compared to $10 million last year, providing $1 million net contributions. Combining the warranty recall costs and restructuring costs, our EBITDA was impacted by one-time costs of $28 million or 65 basis points. All other net performance totaled $60 million or $40 million with material and manufacturing performance outpacing customer pricing and economics. This slide highlights the EBITDA margin profile for each of our regions. North America posted EBITDA of $178 million, which is $47 million or 36% higher than last year. EBITDA margin improved by 230 basis points to 8.1%. The benefit of restructuring initiatives and comparing to 2023 with the supplier issue drove the profit improvement, which was partially offset due to lower revenue. APAC posted EBITDA of $230 million, $29 million or 14.4% higher than 2023, driven by year-over-year revenue growth. EBITDA margins remained strong at 17.2%. Our APAC team delivered strong earnings results in 2024 with excellent operating execution. EMEASA reported EBITDA of $36 million which was $4 million lower than 2023. The results were impacted by unfavorable foreign exchange and one-time warranty recall costs. EMEASA's margins are showing improvement, excluding these one-time costs. We have and continue to implement initiatives that improve our profit margins and our operational efficiency. We successfully reduced fixed costs by implementing a second round of the U.S. Early Retirement Incentive Program during the second half of 2024. We reduced our salaried workforce by 10% in 2024 outside of our growing APAC region. Regarding energy cost efficiencies, we partnered in 2024 with a leading clean energy company to reduce the U.S. site operational costs through a renewable energy source with no upfront capital investment. We are focused on cost reduction and the resiliency of our global supply chain through dual-sourcing components with a focus on best-landed costs and localization of supply. Setting cost targets and securing annual price reductions in supply contracts and leveraging digital processes to enhance efficiency, transparency, and responsiveness. We are optimizing our footprint. We remain on schedule with the relocation of our North America Columns business transition to our Mexico site in Juarez with the last programs moving in 2025. In 2024, we broke ground for the expansion of our Mexico, Tech Center, which will serve as a hub of engineering activity for next year Mexico by providing local engineering support for customers. The expansion is expected to be completed in the first half of 2025. Next year also celebrated the grand opening of our Changshu plant in China. This new facility positions next year to further capitalize on our growth momentum in APAC and globally. For customer recovery, we continue to work with our customers to recover input cost increases with non-contractual negotiations due to inflation and foreign exchange impacts. We are currently negotiating the recovery of the recent U.S. tariff costs and we are focused on securing the quality of bookings for pursuits to enable continued margin expansion. This slide shows our walk from EBITDA to net profit. Overall, the year-over-year $77 million EBITDA improvement is driving the $25 million net profit increase. I will highlight a couple of items. Depreciation and amortization of $310 million includes plant property and equipment depreciation as well as amortization of our intangible assets. Overall, DNA increased by $25 million including $47 million impairment primarily due to customer program cancellations, partially offset by $24 million of recoveries. Income tax expense of $42 million increased by $23 million compared to 2023. This increase was driven by the increase in earnings for the year of 2024 and a one-time income tax gain of $11 million in Brazil in 2023. Our U.S. operations remain in an income tax valuation allowance position resulting in a global 36% effective tax rate in 2024. We expect the tax rate will gradually decrease as the U.S. operations profitability continues to improve. Moving to the balance sheet and cash flow. On the left of the slide is our cash flow performance. Cash flow from operating activities of $446 million in 2024 rose by $42 million compared with a year ago. Principally a result of the increase in earnings. Cash used in investing activities of $280 million was lower than last year due to disciplined capital and engineering investment. We generated significant free cash flow of $166 million in the current period, which was $61 million higher than last year. Our debt level is low with only $48 million of debt and $44 million of finance leases. Our balance sheet remains strong with $422 million of cash and available credit facilities of $324 million, totaling $746 million of liquidity for the year-end of 2024. Turning to 2025 operating considerations. We are currently forecasting that global OEM production volumes will remain roughly flat year over year. We expect to outperform the market by 200 basis points to 300 basis points in revenue, driven by continued growth in APAC with the China OEMs. I'm excited for our new Changshu plant based in China that will enable further growth in APAC starting from 2025 and beyond. We expect further margin expansion due to increased volume, favorable foreign exchange, fixed cost reductions, and the footprint initiatives that we have been implementing. The U.S. tariff policy announcements continue to be dynamic. We are actively working with our customers and suppliers to mitigate the tariff costs where possible and negotiating cost pass-throughs with our customers. Lastly, next year's long-term investment opportunity remains compelling, driven by above-market revenue growth, continued margin expansion through operational efficiency and execution, our leading position in steer-by-wire, and our strong balance sheet enabling strategic investments and increasing shareholder returns. I appreciate your attendance today, and we'll now move to the Q&A session of the call. Operator, please open the line.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question today comes from Tim Hsiao with Morgan Stanley. Please go ahead.
Tim Hsiao : Thanks for taking my question. So, I have two questions. First question is about steer-by-wire because according to what you just shared during the presentation, we've got the first steer-by-wire from a global indicator. Could we share a little bit more about the project size and usually what would the other content look like versus traditional EPS? In the meantime, I think there are increasing numbers of Robotech makers in China. So, is Nexteer talking to any of them to provide the steer-by-wire potentially in the future? That's my first question.
Robin Milavec: Okay. Hi Tim. This is Robin. Thanks for the question. What I can say about the steer-by-wire business award with the North America leading EV, I would say the volumes are not -- there's a forecast for the volumes, but this being a mobility as a service platform, there's not a lot of track record for those types of vehicles. It is really a change in the market dynamics that is attempted to be made there. So, we're optimistic about the opportunity. The steer-by-wire system utilized in that platform is the road wheel actuator only, because this particular vehicle does not have a steering wheel or any hand wheel controls. So, it's a road wheel actuator that would be very similar to a dual pinion type system, but of course, it would have some additional redundancies and content for the safety. In terms of the China market, we have now landed two steer-by-wire production contracts in China. We see China now leading. They will be our first implementation of steer-by-wire in this market. And we continue to look for opportunities in the China market, and we see that to be very, very promising.
Tim Hsiao: And my second question is about tariff, how about -- Nexteer's, the OEM customers reach out to renegotiate, how we have to discuss about the turn in contracts ahead of the potential 25% areas on vehicle imported from Mexico to the U.S.? With the car makers in your view, to request Nexteer to shift some of the production back to the U.S. plans, and in that case, what would be the potential impact to the cost? That's my second question. Thank you.
Mike Bierlein: Hey, thanks, Tim. Tim, it's Mike. I'll try to take a shot at that. And certainly, this tariff environment is very dynamic. So, we're working through, and the rest of the industry for North America is also working through this dynamic environment. And so, what we're trying to do is, to first mitigate the tariff costs where possible, and then where not possible, we're working with our customers on a cost, a pass-through basis in the short term. Now, once the tariff regulations are more solid, so we know what the tariffs will be by customer or by country, at least for the short to medium term, then we'll work on ways to further mitigate by potentially moving production. But I'd say it's too early at this stage to make major capital investments until the tariff environment is more certain.
Robin Milavec : Yeah, Tim, Mr. Robin. I would just add to that as well, is even our customers do not know exactly what direction to go. There's kind of a wait-and-see approach in terms of how significant of a countermeasure that they are willing to take until the tariffs are known and are more permanent because they're very dynamic at the moment. But what they've asked us for is a plan, a countermeasure plan. And there's an existing free trade agreement in North America called USMCA. And most of our customers are asking us for plans to get our products compliant to the USMCA requirements. And so, we do have options across all of our parts that would involve changes to supply chain and other longer-term changes that would be required to be fully compliant to USMCA. And I think the implementation of those countermeasures will largely depend on what the permanent tariff environment looks like after it stabilizes.
Operator: The next question comes from Rebecca Wen with J.P. Morgan. Please go ahead.
Rebecca Wen: Thank you, for taking my question. So, two questions from me. One is with the latest ordering from the global EV Leader 4 steer-by-wire in the two Chinese OEM orders, what are we expecting the steel-backed wire mix in our overall revenue? Let's say by 2027 to '28, or maybe a little bit longer term target, let's say by 2013. What is the expected steer-by-wire mix in our revenue? So that's the first question. And then the second question is, what's our view on the U.S. auto market growth overall this year with so many noises from tariffs and maybe like inflation, et cetera? So, what is our expectation on the overall U.S. auto market growth? Thank you.
Robin Milavec : I can start with the steer-by-wire and then maybe I'll pitch it to Mike and he can talk about the market growth potential. But relative to steer-by-wire, I mentioned that we are seeing a bit of a softening in the demand or at least the delay in some of the start-up production programs in North America and Europe in particular. But we're seeing an acceleration of the demand in the China market. So, I think given the business outlook that we see by 2020 or say by 2030, I think steer-by-wire will remain a relatively small amount of our total revenue, maybe 5% of our revenue in that time frame, and it won't be until after 2030 that there'll be a significant ramp-up in that technology. And I think the China market will lead the adoption of steer-by-wire simply because there seems to be a strong correlation between the level of autonomy that a vehicle has, and China is leading the autonomy levels they expect by 2030 to be roughly 50% of the vehicles in China will be Level 4 and above. So, I think that will drive faster adoption of steer-by-wire in the China market. But again, I think it's going to be prior to 2030 that we really see significant revenue in our portfolio coming from steer-by-wire.
Mike Bierlein: And Rebecca, thanks for the questions. This is Mike. I'll take a shot at the second question. And as we mentioned in our prepared remarks, we had expected that global OEM production volumes would be relatively flat year over year, and that assumption includes a reduction of 3% in North America, increase of 2% in APAC, and a decrease of 3% in EMEASA. And the 3% reduction in North America, I'd say that could be at risk considering the tariffs that have been implemented as well as a negative consumer sentiment that has been ongoing, but also recognizing that, that would be the second year in a row of production volume reduction in North America. So, something that we continue to watch closely, but so far, we're at negative 3%.
Rebecca Wen: If I may just quickly add one more question on the margins front. So, we had a 10.4% EBITDA margin in second half of '24. We previously had guided a double-digit margin for 2024. So, we now achieved that target in second half at least. What's the latest margin guidance for this year or near-term future?
Mike Bierlein: Thanks, Rebecca. Of course, we don't give specific guidance out relative to profitability, but I will say that we continue to be focused on improving our margins. You can see that year over year we continue to make improvements. 9.9% was our margin for the full year of 2024. That expanded 170 basis points compared to 2023. So, as we continue to implement on our improvement initiatives, we intend to see incremental margin expansion into 2025 above and beyond this 9.9% in 2024.
Operator: The next question comes from Yiming Liu with Haitong Securities. Please go ahead.
Yiming Liu : Hello, this is Yiming from Haitong Securities. Thank you for taking my question. So first, congratulations for all those big bookings that you got last year. My question is regarding to RWS, the Railroad Steering System. So, I wonder what kind of vehicles are installing this system in general and how large do you expect this market to be in the near future? And what is your expected sales volume in 2026 and '27? Thank you.
Robin Milavec : Yeah, so I'll take a shot at that. So, we are seeing interest in rear-wheel steering for many China OEMs. And I would say the vehicle segments mostly would be the larger wheelbase segments where the increased maneuverability of rear-wheel steering assists in the maneuverability of the vehicle. But there's also applications that are like sports car-type applications where the rear-wheel steering really improves the control and handling of the vehicle as well. So, we are seeing this level of demand from a lot of the China OEMs, but even the European OEMs are looking for rear-steer technology on some of their more sportier cars, I would say, to improve the handling and maneuverability of those vehicles. By 2026, I wouldn't expect the revenue associated with rear-steering to be extremely large, but again, it will be growing. I see it ramping up. That's our first launch in 2026. It'll be relatively minor in 2026, but it will grow throughout the time frame into 2030. And rear-wheel steering we consider that another form of steer-by-wire as well. So, if you start to lump in rear-wheel steering along with front steer-by-wire, there is market potential for that to be significant piece of our portfolio after 2030.
Operator: Due to the limited time, we will take the last question from Bin Wang from Deutsche Bank. Please go ahead, sir.
Bin Wang : Thank you. I got two questions. Number one is about 2025 older booking guidance. Basically, it has been offered around $6 billion for four years, in the past four years. Why do you think this $4 billion can convert into real revenue in the future? Theoretically, one car life is about five to seven years. Do we expect in certain years, we can reach $5 billion, $6 billion revenue in the near future? That's number one question. And number two is about on the expense because you have mentioned one programming cancellation need to sign impairment laws. Can you provide more details? Number one, who is that automaker? Second, is that one-off any impact for 2025? Thank you.
Mike Bierlein: Thanks, Ben. This is Mike. I'll take a stab at the questions. The first one relative to bookings. We continue to target this $6 billion level of bookings for 2025 and that's aligned with our strategic plan to grow this company from the current $4.3 billion up to $6 billion. So, as we execute on our bookings plan and launch these programs, we will be continuing to outperform the market in terms of revenue growth and making our path to the $6 billion number. In terms of the impairments, we did have $47 million of impairments during the year. There were multiple customer programs that were canceled. I'd say the largest one was with North America OEM on an autonomous vehicle program. That was the largest impact for us and also impact was part of the $47 million.
Operator: Thank you all so much for the questions and for today's participation. If there are any further queries, please contact us at investors@nexteer.com. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.